Operator: Ladies and gentlemen, good evening and good morning, and thank you for standing by. Welcome to the Tencent Music Entertainment Group 2019 Fourth Quarter and Full Year Earnings Call. Today, you'll hear discussions from the management team of Tencent Music Entertainment Group followed by a question-and-answer session. Please be advised that this conference is being recorded today. Now, I'll turn the conference call over to your speaker host today, Ms. Melissa . The floor is yours, ma'am.
Unidentified Company Representative:
Cussion Kar Shun Pang: Thank you, Melissa . And hello, everyone, and thank you for joining our call today. 2019 marked an important year for TME. We made significant contribution to upholding music copyright protection, supporting original content creation, and designing innovative monetization models to unlock the intrinsic value of asset or which are beneficial to the long-term sustainable growth of the industry.
Cheuk Tung Tony Yip: Thank you, Cussion. Hello, everyone. Apart from our strengthen content leadership, there are a few other areas that we have excelled in both our online music and social entertainment services. For online music to begin with, our promotional capabilities have been further strengthened. Our comprehensive promotional infrastructure not only leverages TMEs online platform, but also through cooperation with external online and offline channels.  In the fourth quarter of 2019, we successfully held the first Tencent Music Entertainment Award, TMEA in Macau and lived it online on that platform presenting a strong lineup of top domestic and international singers such as Jim Dunn, West Life and  etcetera. This event became a national hub topic and generated tremendous media exposure, both online and offline for our artist. Within two weeks of TMEA, the cumulative page views of the topic on the internet reach nearly 7 billion. 
Shirley Hu: Thank you, Tony Yip. Hello, everyone. We achieved  for full year 2019. For full year 2019, our total revenues were RMB25.4 billion, up 34% year-over-year. Our last IFRS net profit was RMB4.9 billion In the fourth quarter of 2019 our revenues RMB7.3 billion, up 35% year-over-year, driven by 41% growth in online services, revenues, and 33% growth in social entertainment services revenue. Online music service revenues were RMB2.1 million, up 41% year-over-year. The increase was mainly driven by outstanding performance from music subscriptions, supplemented by growth in advertising services and the sales of digital music albums, partially offset by decrease in supply services revenue. Music subscription revenues were RMB1.1 billion, up 60% year-over-year, driven by record high growth of subscribers and the improvement in ARPPU. Basically, number of subscribers increased 48% and the subscriber at ARPPU grew 8% year-over-year, reflecting success of our paper streaming service strategy and the premium memberships offering. Consequently, we have seen continued improvement in user retention rate and increase in use willingness to pay for premium content.  Social entertainment service and other revenue were RMB5.2 billion, up 33% year-over-year, primarily driven by growth in live streaming and online Karaoke services. In the fourth quarter of 2019, our flagship annual social and Tencent ally  contributed stories of paying user growth and the user spend expansion, resulting in paying user growth of 22% and ARPPU growth of 9% on a year-over-year base. Costs of revenues were RMB4.8 billion, up 34.5% year-over-year, driven by higher revenue, shares and fees and content expenses. Our gross margin was 34.1% in Q4 2019, and improved slightly from Q4 2018 driven by gross margin improvements in online music services as a result of revenue growth. Despite ongoing margin pressure from increased revenue sharing ratio in social entertainment services.  Total operating expenses were RMB1.4 billion up 5% year-over-year. Total operating expenses as a percentage of total revenue was 19.4% in Q4 2019, down 5.7 percentage points from 25.1% in Q4 2018. Target reach was due to fact at IPO related expenses incurred in the fourth quarter of 2018 did not recover in 2019. The decrease also refracted success of our continued efforts and operation efficiency in various areas, such as user growth spending, and the content promotion expenses. Our effective tax rate was 12.4% in Q4 2019, our net profit attributable to equity holders of the company was RMB1 billion. Non IFRS net profit attributable to equity holders of company was RMB1.5 billion and above IFRS net profit margin was 18.4%. As of December 31, 2019, our combined balance is of cash and cash equivalents, term deposit were RMB22.9 billion, representing an increase of RMB1.8 billion from RMB21.1 billion as of September 30, 2019. The increase in the balance sheet primarily due to cash flow generated from operations of RMB2.2 billion  in fourth quarter of 2019. Overall, we achieved strong growth across our online music and social entertainment business in both the fourth quarter and full year 2019 driven by our products and content. Looking forward we will remain focused on content investment to further enhance user engagement and my integration and continue to expand our product and service offerings, such as live streaming in QQ Music, and long form audio.  This concludes our prepared remarks. Operator, we are ready to open the floor for questions.
Operator:  The first question we have will come from Wendy Chen of Goldman Sachs. Please go ahead. 
Wendy Chen: Hi, Cussion, Tony, Shirley, and Melissa; and thanks very much for taking my question. So my question is about the new initiatives on social entertainment side in particularly adding live streaming featuring into QQ Music. I'm just wondering what magnitude of incremental revenues that management expect this new initiatives can bring to us in 2020. And for the near term strategy, we focus more on user adoption or monetization for this edition. And if I may add a simple follow up a similar question to our long form audio initiative, like how does management see our competition landscape in this new field? And what is our near-term strategy for this new initiative in 2020? Thanks.
Cussion Kar Shun Pang : Hi, Wendy, thank you for a question. We intend to launch live streaming services for QQ Music likely in the second quarter. This product initially we focus on the discovery and cultivation of star performance and artist. We still very strong in leveraging our experience and know how. Our massive user of music centric user base, as well as our powerful promotional capabilities and dynamic fan base ecosystem to gradually scale it up. While we don't expect it to contribute to 2020 revenue in a significant manner, we do expect it to ramp up over the course of the next few quarters with more meaningful results contributing to 2021. 
Cheuk Tung Tony Yip: I would like to add on the long form audios parks that Wendy you mentioned about. We are so committed and thinking that the long form audios is new area that we can further expand our user base and also our website in the future. What we are doing is, as we mentioned before, during the second half of 2019, we actually has been already enhancing our applications and letting our users to have a better user experience on the long form audios. At the same time, we also partnered with many different content providers to provide more long form audios content. One of the very exciting example that I have just announced to every one of you is, we have already entered a five year contract with the Chinese literature, which means that we are going to have a ripen and very large library of long form audios. And we are going to produce audio books for our users, and which will help to drive the further engagement of our users on the platform. So it's going to be an exciting journey in this area for us. 
Wendy Chen: Thanks very much.
Operator: The next question will come from Eric  of Morgan Stanley.
Unidentified Analyst: Hi, management. Thanks very much for taking my question. My first question is regarding the ARPU growth. It is showing very visible improvements in the fourth quarter. So can you give us some color on the percentage mix now of membership signing up the green diamond mix? And also what's your expectation of ARPU growth in 2020? And then my second question is regarding the master agreements. It was the first one potentially ending in second quarter, how should we expect a change in licensing income and your cost structure and margin in the second half and after? Thank you very much.
Cussion Kar Shun Pang: I will take the first question so regarding the ARPU. And right now, according to us the online revenue is very important and, and healthy business model for us. And what our focus is on the paying ratio, which has been continuously improving in the past few years. And we are also seeing pretty good acceleration on the paying ratio as well. In terms of ARPU, I think that is most likely increasing. This is because more and more users also trying to subscribe to our VIP plan. And also we are seeing that the retention rate of our monthly subscribers keep improving as well. So this is, being a really healthy manner. So maybe Tony can take the second question.
Cheuk Tung Tony Yip: Okay, about sublicense revenues, because we expect we will transmission out of some major labels from master lessons, master agreement. So we expect that the sublicense will be increased, and our margin will be increased because we did not put the money front when we signed agreement with labels. If some third-parties form the larger -- so meant to form answer, we will have some numbers. So we expect our cost margin, if we don't find expand mass agreement, our margin will be reset.
Cussion Kar Shun Pang: Yes, just add to that, I think you all know that last year, we had signed a couple of the bigger contract in the form of monster licensing. And when we have to pay a very chunky high fee up front that covers not only our platforms usage but also the potential revenue that we might be able to recoup by sub licensing to other platforms but as we all know, in the second half of last year, we were not able to recoup some of that sub licensing revenue, which resulted in the loss in foregone revenue for us. And therefore, going forward, we'll be evaluating the master licensing. And to the extent that we decide not to renew certain contracts on a master license basis would be only doing so because it would be costs and will be margin accretive to us. Because we will no longer have to take that risk of having to pay a high upfront licensing fee, not just for our platform usage but also for the third party platform usage. So we no longer need to do that if we are not extending on a mass  license basis. So that could potentially be a margin accretive event for us.
Unidentified Analyst: Thank you very much.
Operator: Next question will come from John Egbert of Stifel. Please go ahead. 
John Egbert: Thanks for taking the question, the digital service, it seems like TME is in a much better place than many of its peers in terms of corona virus impact during the first half of 2020. I'm wondering if you could talk through some of the puts and takes that could impact your results during the first half of the year, both positively and negatively on between the different products in your portfolio and in some products use it to my benefit than others may be spending my might be a little bit tougher, but maybe you could walk us through some of those that'd be really helpful? 
Cheuk Tung Tony Yip : Sure. Well, first of all, I think you know, before addressing the question about sort of the outlook to 2020. We want to reiterate that we are very pleased with the Q4 performance with total revenue growing 35% year-over-year, which is a faster pace than Q2 or Q3. And especially our online music subscription revenue to 60% year-over-year, which is continuing on the accelerating growth trends, which we expect to continue into Q1. And at the same time, our social revenue grew at a very solid 33%, which is a similar pace compared to the last quarter. And then in terms of kind of outlook, again with the relevant disclaimers for . I'll first address the online music service and I'll talk about social entertainment, and then I'll sum it up for overall. For online music services, for Q1 we expect overall online music services revenue year-over-year growth rate to be lower than that of Q4, primarily due to declining sunrise licensing revenue as well as advertising revenues impact from the virus. However, we expect subscription revenue, which is our core focus to continue to see over year growth rate to accelerate in Q1 compared to Q4. And similarly for the full year in 2020, we expect overall online music services revenue year-over-year growth rate to be lower than 2019 levels due to lower sub licensing revenue. But full year's subscription revenue is expected to grow at a faster pace than 2019, which is very, very excitingly driven by growth in both subscribers and ARPU, and not just being driven by subscriber growth. And you've already seen that our ARPU growth has already seen three straight quarters of year-over-year increases. So we can expect that trend to continue. And then for social entertainment services, we expect revenue growth to be pressured in Q1 due to short term impacts from the corona virus from adjustments to some of our live streaming interactive features for compliance reasons. And the top comparison due to the timing shift of the leasing  to Q4. However, we are already taking steps to mitigate these impacts. And we expect revenue growth to improve into the second half. In addition, we're very excited about the growth potential from the launch of live streaming services including music in the first half, which we expect to contribute revenue more meaningful next year in 2021 and become an additional growth engine for social entertainment services. I think specifically worth mentioning about the social entertainment MAU, while there is a sequential drop in fourth quarter for reasons I've outlined in Q3 earnings call, which I will repeat again, we're very pleased to share that we expect MAU to rebound in Q1. And we already seeing the numbers on track to deliver that in January and February, driven by a very well executed set of growth initiatives that I also outlined during last quarter's earnings call, just namely to improve user engagement by lowering the user usage barrier by substantially increasing short video elements on the platform as well as by focusing on growing the social network, which is the core competitive advantage within resetting. And as a result, we expect MAU for social entertainment to resume a healthy growth trend throughout 2020. So in terms of overall total revenue for the company, for reasons out outlined above, we expect Q1 total revenue year-over-year growth rate to be much softer, but to accelerate over the next few quarters, and for the full year, even though total revenue growth is expected to be slower than original expectations due to the short term impacts in the first half, we expect revenue growth to improve in the second half. And more so, we feel very confident about the long term growth potential of TME. You'll remember that a year ago when we started implementing the paper  streaming strategy, which has proven now to be very successful. We were leading the music industry to adopt a brand new model that will build a much better future for the whole industry and for all participants involved platforms, content producers, musicians. And today we feel even more confident about the prospects of the music subscription business. If you compare it to the Western comparables where they're running at around 50% paying ratio, we currently have 6%. And if you compare us to other online video platforms in China, where as a whole, they are between 300 million to 400 million subscribers; our platform has only 40 million. There's 8x to 10x potential that you could see by those comparisons. And lastly, we're constantly exploring new opportunities in light of the macro backdrop. One such example is our recent launch of TME Live, a new live streaming model that integrates offline concerts on to online live streaming experience. Given large gatherings are limited during the virus outbreak.  And coupled is with the launch of live streaming and QQ Music expansion into long form audio that Cussion mentioned. The scaling up of advertising and the continued growth in the musician program, we're confident that all of these investments contribute significantly to the top line growth over the years to come.
John Egbert: Great. Thank you.
Operator: The next question comes from Binnie Wong of HSBC.
Binnie Wong: Hi, good morning management. Thank you for taking my question. So if we look at, I think it's encouraging to see the uplift in the paying ratio. But if we look at the MAU site, dimension, which is your fundamental driver, both the MAU in the online music and social entertainment has also be seen some decline. If you look at social entertainment, despite the shape of the annual , it's both declining on a Y on Y and Q on Q. So and then just want to understand the reasons of the decline in the MAU here. And then with that, also understand that if you look at them, we understand why there's a better economics of TME not choose to renew some of the master license. So how should we think about in terms of user acquisition strategy into 2020? Thank you.
Cussion Kar Shun Pang: So, we were absolutely not concerned by the slight drop in the music MAU in the fourth quarter because that's just part of seasonality. Every Q4 you would see a slight drop sequentially. But we expect to recover from that into Q1. And then for social entertainment MAU, we had alerted our shareholders and the investors in the last quarter earnings call that due to competitive pressures. We are seeing a slight decline in MAU on a sequential basis for social entertainment. But like I mentioned, we've implemented a very comprehensive and well executed growth plan, tackling user acquisition as well as user engagement. And the plan is working very well. And it's showing very good traction, which is why we see we expect the social entertainment to rebound into one and to resume a healthy growth trend throughout 2020.
Cheuk Tung Tony Yip : In terms of the master licensing that you mentioned about, I think that we are still believing that master licensing agreement, you have a very good value to the industry. So which means that we will continue to have some of the master license agreement with certain types of labels, but not all of them. We will be -- have the wisdom to latter on which label are we going to adopt the master license agreement or which one we do not. As we mentioned about, especially the three labels, the three major labels, which counting for most of the content costs, relatively for the content costs of our company. If we are going to moving away from the master license agreement, I think that is going to lead us to be enabled to achieve some cost saving, as we have no longer need to have the commitment of front payment for the licensing.  So I think that is going to be a good for us and also because we already have a very huge user base, we have over 800 million active monthly users, even though we are not going to have a modest licensing with the three major labels. If we have the license on a platform, it will serve the little demands of our users, which will serve the purpose. So I think that we will be in really carefully to selecting our strategies in terms of contracting with all the families' labels.
Cussion Kar Shun Pang: So, to wrap up, I think in terms of, there was a slight question about how we would approach user acquisition from the content angle. I think as Cussion mentioned, we are very committed to enriching continuously our content offering to further strengthen our content, leadership, which is already very strong. And we've added a lot of new content to cater for user demand. You know, especially for the younger demographics, like the Chinese Asian style, like the ACG or J-pop or K-pop, which are also showing very good results in terms of allowing us to further penetrating into the younger demographics, especially the Gen-Z.
Operator: Next, we have Alex Yao of JP Morgan.
Alex Yao: Thank you management for taking my question. First question is about the progress of the ever expanding paywall. Can you share with us by the end of Q1, what portion of the content library will be put behind the paywall? And how do you think about by the end of the 2020? What percentage will be behind the paywall? And then secondly, regarding the sub licensing revenue, we understand the appetites or demand for sub licensing, the professionally curated content from you guys is going down. Can you help us understand why is the competitor deemphasizing such content channel? And if the consumer demand for such content is generally going down? Why do you need to spend aggressively on such content? Thank you. 
Cheuk Tung Tony Yip : On the paywall, we will address Q1 when we report Q1 results. But what I'm happy to share is that we started embarking on the paper streaming strategy in Q1 of 2019. So effectively, we started with zero percent of our content behind the paywall based on streaming volume share. And by the end of 2019, around 9% to 10% of the content is behind the paywall. And so you could expect a similar sort of pace in terms of the pace of content that we'll put behind the paywall during 2020. 
Cussion Kar Shun Pang : And also in terms of the content that you're talking about, what we are doing in TME is we try to provide as much content as possible to our users, which basically, because the demand of a user is very complicated, they will like to listen to the top tier access to creamier content. But at the same time, they will also like to listen to some long tail content by the indie musician as well. So, I think that -- note, we do not have a one way to satisfy all the needs of our users. So there's a reason why we need to strike a balance. And we need to provide the most content which is available to our users. And this is what we continue doing and doing well in the past few years. And we will continue to doing this. And in terms of the cost structures, I think that, some of the creamier content may be a little bit more expensive than the others but the things that we are also participating with many partners to co-produce some of our own content, so which will help us lower some of the funding costs as well. And we are going to helping industry, the more young and talented musicians to have the platform or the stage that helped them to demonstrate their talent. So I think this is what we will continue doing this. And since the year of 2017, we have already put in a lot of efforts in helping the Indian musicians in China, and we are achieving really good results, and especially on our  Musician program. So I think that our current strategies is very clear, and I'm showing that direction is correct. And we will achieve even further success in the in the years to come.
Operator: Next question comes from Alex Ziyang of Macquarie.
Alex Ziyang: Thank you management for taking my question. Just a really quick follow up on the master license, I guess could do give us some color on the main negotiation points when we're talking to music label suppose from the domestic or more independent labels and a nationalist? Thank you.
Cussion Kar Shun Pang : Well, I think, you know, in terms of obviously, we won't be we share a lot of details in terms of the negotiation points, given the highly sensitive nature. But I'd like to remind you that price is not the only discussion point. In the past, we've often won contract without having to pay the highest price because our content partners really see us as a partner of choice. Given that, we help them with copyright protection in China, we are the biggest platform that account for a vast majority percentage of the market share. We are by far the most successful in terms of helping them monetize the music online. And our promotional capability not only a strong on our own platform, but we also extend promotional capability beyond our online platform into external channels through our partnerships as well as through offline channels, such as live events, et cetera. So, all of these are very important factors that our content partners take into consideration, which is why we are able to have the confidence that will keep renewing the important content that matter to us.
Operator: Next, we have Hans Chung of KeyBanc Capital Markets.
Hans Chung: Management thank you for taking my question. So, my first question regarding the social entertainment business and there seems to be regulatory issues in our streaming powerful in the whole sector, in early inning of this year and then -- and also I say that we have meet the impact for our Q1 guidance. And just wonder, what's our view on these and then how should we overcome the regulatory issue and then how are we competent with just getting back to normalize suppose in the second half. And then a follow-up question is regarding the gross margin and can management can just give some puts and takes about the gross margin for the whole year, given that we have a different moving parts going on this year that a faster growth for music, the renewal of the sub-licensing deal and also the softer  business in the first half and so on. So it just kind of general sense about our gross margin for the year compared to last year. Thank you.
Cussion Kar Shun Pang : Okay, I'll take the first part of the question and maybe Tony actually talks about the margin. So when we're talking about social entertainments ideas. I think overall we have done a really good growth rate in the year 2019. And the growth rate is very healthy and, but recently interactive features adjustments, and also the corona virus has some short term financial impacts to us especially on social entertainment business in the first half of 2020. But since we have already got many years of experience in  our social entertainment business and build a strong foundation, so therefore, we are confident to achieve a healthy and long term sustainable goal of our social entertainment services in the future. And as we also mentioned that during the early part of this conference call we mentioned during that we are targeting to launch a QQ Music, live streaming services in the second quarter of this year.  So once again it is going to be another driver for us in the social entertainment that in the near future. And also during the corona virus period are we also seeing that we are having some result on the leasing platform as well. More people started to have more interaction with their friends through the social networks and we are also seeing a strong comeback on the user base, actively participating in our social entertainment platform. So we are expecting that recovery and a good growing trend in the second half of this year. 
Cheuk Tung Tony Yip : Okay, about the gross margin. We think the margin is a complex picture in 2019, 2020. First on the music side, we think our gross margin will be improved because our sublicense revenue will be increased. And when we charted out from the master agreement, the cost of that will be have benefited from it. So, overall, we expect that the gross margin will be improved on the online music side.  Second because of competition we needed to invest more on the revenue sharing ratio on the social entertainment that will impact our gross margin. The third, we need to invest more on the content especially in long form audio. So that will also be impacted our gross margin and the fourth, because the gross margin will be also impacted by the revenue structure. Because in 2020, we expect that the online music service revenue will be a growth factor and social impairment. So overall we think that in the 2020s the gross margin will be a little decrease.
Operator: The next question will come from Thomas Chong of Jefferies.
Thomas Chong: Hi, what to thanks management for taking my question. I have a question regarding the cooperation of the literature. Can you just comment about how the business model works in terms of the revenue sharing ratio or the cost that we need to pay to China Digital? And a follow-up on that; are we seeing there will be more synergies with other part of Tencent ecosystem like gaming, the video? Any thoughts on our most images on our music business? Thank you.
Cussion Kar Shun Pang : Yes. I'll first talk a little bit about the strategic angle with our cooperation with China. And then I'll let Shirley talk a little bit about the financial impact. I think it is very clear to us from our testing, that there are a lot of complimentary behavior between music users and long term audio users. And for based on our experience, we are already seeing that for users who listen to online, listen to long form audio, the time spend that we spend on our platform is even longer than the time spend for our overall user base. And so it's very effective in terms of being able to improve the user stickiness, as well as allowing us to meet a broader set of users demand. At the same time, from a long form audio perspective, audio books is the number one biggest category of content consumption. And within audio books, China Literature is by far the biggest provider, the biggest owner of these IPs. And so, through our strategic cooperation with China Literature, we are able to immediately get access to all through the most important audiobook licensing that allow us to create these audiobook content, so that we could ramp up the user penetration. And like we mentioned earlier, if you look at our Western peers, were within a short period of one year or maybe less than less than two years, one to two years, they're able to achieve around 16% penetration of their online music users that are also listening to long form audio. And if we are able to achieve a similar set of penetration ratio, given our very sizable online music user base, we -- there is an opportunity for us to become the number one long form audio platform in China. And you know, the mid-teens penetration doesn't stop there, there is actually more room for that to grow to the 600 million target that's mentioned by the industry report. So there is very strong strategic synergies of why this corporation is very beneficial to both parties. And I'll lead Shirley talk a little bit about the financial impact.
Shirley Hu: About financial impact, because we -- in 2020, we needed to investment -- invested in the long form radio, we will give literature a reasonable -- minimum guarantee for it. And we are very excited because we have very strong subscriber user base. So in long form radio we will focus on the subscriber increment. We believe in following years after 2020 we can get benefit from this business.
Unidentified Company Representative: Sabrina, we'll take the last question from the queue.
Operator: Yes ma'am. And that question will come from Zhijing Liu of UBS.
Zhijing Liu: Congratulations on strong results. I have two questions. First one is, will QQ Music's new initiative of live streaming have cannibalization with our existing live streaming business for Google? And second question is regarding advertising supportive music, similar to Spotify, do you think it is achievable for TME in next one to two years? And how should we balance this new growth points with competition? Thank you.
Cussion Kar Shun Pang: Okay, I'll take the first question. Thank you for talking about the QQ Music, the live broadcasting, which is an exciting project that we're working on. First of all, both of the Kugou platform, and QQ Music platform, and Kuwo platform, they are already huge in size by themselves, and also the overlapping of users of them is very minimal. So which means that they are serving it's own user base really well, and when we are going to launch the live broadcasting services in QQ Music, it will even serve the QQ Music users even better and there is not going to have any cannibalizations among the platform itself. So, yes, we can learn.
Cheuk Tung Tony Yip: I think, we -- also on in terms of QQ Music live streaming, we have a lot of experience in user segmentation across our three, four major apps. Even on -- I mean, similar to the music side, even though we are three music platforms, there are very minimal user cannibalization. In fact, having multi-brand it will allow us to cover a bigger user base as a whole. And so we are adopting a similar know-how and expertise onto a live streaming whereby even though we have multi-platform, multi-brand on live streaming, but it will target slightly different user segments that allow us to broaden our reach. And then in terms of audio, we are certainly very committed to investing in this growth initiative. We see huge potential, especially -- there is a lot of synergies between music and long form audio, and -- and we view -- obviously, we take reference to the Western peers experience and we target, we strive to achieve that. We won't set a timeframe on it because it's early days but -- by through our cooperation with China Literature, we are leading a very strong swift solid foundation, very strong foundation that puts us in a very advantageous position in the starting gate.
Operator: I'm so sorry, I will not ask that question. Well, we have approached the end of the conference call. I will now turn the call over to speaker host today. Miss Melissa  for her closing remarks. Ma'am?
Unidentified Company Representative: Thank you. Thank you, everyone for joining us today. If you have any further questions, please feel free to contact TME's IR team. This concludes today's call, and we look forward to speaking to you again next quarter.
Cussion Kar Shun Pang: Okay. So listen, I just want to add quick conclusions. I think I would like to say thank you to every one of you joining the call today, especially for the support to TME. I think the year of 2019 is a very special year for TME since it's the first completed financial year after we officially launched and listed on the New York Stock Exchange, back in December 2018. I think for this year we are delivering a very good result, and we are 120% committed to continue to create values of our users, panels  and also our shareholders. I think during the period of the coronavirus epidemic, I think that I wish you and also your family with good health, and all survivors -- and understanding that the virus has brought some negative impact to our society, or even the global economy, but I'm sure that after bad time is gone, the future is bright. So we're together and I wish you and your family all the best, and god bless you all. Okay, thank you so much, for your time . Thank you.
Cheuk Tung Tony Yip: Okay, Thank you.
Shirley Hu: Thank you.
Operator: And we thank you everyone for joining us today. If you have further questions, please feel free to contact TME's Investor Relations Team through the contact information provided on our website, or the PSMT  Group, the company's Investor Relations partner. This concludes today's call. And we look forward to speaking with you again next quarter. Thank you again, everyone. Take care. Goodbye. Have a great day.